Operator: Ladies and gentlemen, thank you for standing by. And welcome to the Cree’s Third Quarter Fiscal Year 2020  Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speaker presentation there will be a question-and-answer session.  I would now like to hand the conference over to your speaker today, Tyler Gronbach, Vice President of Investor Relations. Please go ahead.
Tyler Gronbach: Thank you, and good afternoon, everyone. Welcome to Cree’s third quarter fiscal 2021 conference call. Today, Cree’s CEO, Gregg Lowe; and Cree’s CFO, Neill Reynolds, will report on the results for the third quarter of fiscal year 2021.
Gregg Lowe: Thank you, Tyler, and good afternoon, everyone. Thank you for joining us today and I hope you and your families are staying healthy and safe. I am pleased to report that during the third quarter we continued to execute and drive our business, delivering strong revenue ahead of our guidance range and non-GAAP diluted earnings per share at the high end of our guidance range. Additionally, during the quarter, we completed the divestiture of the LED business, accomplishing a critical milestone in our journey to become a pure-play semiconductor powerhouse. Now innovation has defined our company since it was founded 30 years ago and we are once again leading a significant shift in technology. Our Wolfspeed solutions are driving change across the semiconductor market, enabling greater efficiency and performance, smaller systems and lower costs. As the world moves to efficiently power its vehicles, cities and communications infrastructure and the adoption of silicon carbide continues to build across a broad range of applications, we are well positioned to lead this industry transition and capitalize on tremendous long-term growth opportunities. Already, we are seeing a strong adoption in automotive and industrials which have recognized the impressive value proposition that silicon carbide has to offer. Across other industries, we are seeing demand build, as we transition from silicon-based to silicon carbide-based, high-power electronics. This is reinforcing our conviction in our long-term prospects and the investments we are making now to ensure we capitalize on this transition.
Neill Reynolds: Thank you, Gregg and good afternoon, everyone. We delivered solid results during the third quarter as demand for devices and materials continued to build amid an evolving and dynamic market backdrop. Revenues for the third quarter of fiscal 2021 were $137 million above the high end of our guidance range, representing an increase of 8% sequentially and an increase of 21% year-over-year. Our non-GAAP net loss was $24.7 million or $0.22 per diluted share. Our third quarter non-GAAP earnings exclude $41.8 million of expense net of tax or $0.37 per diluted share for non-cash, stock-based compensation acquired intangibles amortization, accretion on our convertible notes, project transformation, and transaction costs, factory optimization costs, changes in the value of our previously held ENNOSTAR investments, and other items outlined in today's earnings release.  Turning to our performance by product line. In power, we delivered a solid performance driven by continued momentum of our solutions across a number of sectors. Looking at RF, we are encouraged to see improving trends driven by increased 5G activity as communications infrastructure providers expand their activities, and our backlog underscores the growing opportunity we have as 5G rolls out across the globe.  It's important to note that the strong demand across our device portfolio showed a notable year-over-year revenue increase of more than 50%. In materials, we saw a modest uptick in order flow in the quarter consistent with our expectations for the back half of fiscal 2021.  Third quarter non-GAAP gross margin was 35.0% compared to 35.4% last quarter. The sequential decrease in gross margin was due to temporarily higher factory costs as we ran capacity in our Durham fab as well as ongoing COVID-19 safety measures. Non-GAAP operating expense for Q3 was $80 million, and our non-GAAP tax rate was 25%. As we invest in our operations to capitalize on the tremendous growth opportunity ahead, we will remain disciplined in our cost control across the business.  For the third quarter, days sales outstanding was 47 days and inventory days on hand was 142 days. Cash generated from operations was negative $27 million and capital expenditures were $138 million resulting in negative free cash flow of $165 million. We have a strong and healthy balance sheet with approximately $1.3 billion in liquidity to support our growth strategy, zero withdrawn on our line of credit and convertible debt with a total face value of $1 billion. 
Gregg Lowe: Thanks Neill. Our business continues to build momentum, which is evidenced by our results this quarter. Our device opportunity pipeline remains strong. And we are seeing more demand in our core automotive and RF markets, as well as additional interest in new areas across energy, industrials, and aerospace and defense. Our device pipeline stands at more than $10 billion and our team is identifying more opportunities at a rapid pace. Additionally, our sales team continues to generate new business securing more than $580 million in design-ins during the quarter. A significant portion of these were for automotive products and the rest were spread across industrial, communications infrastructure, energy, and aerospace and defense. Now this represents an impressive total of approximately $2.5 billion in design-ins that we've secured over the last five quarters, including applications such as air conditioners, compressors, motor drives and a robotic arm. A year ago, we launched our portfolio of 650-volt silicon carbide MOSFET products, exclusively with Arrow Electronics. We are extremely pleased with the success of this partnership, which has since generated an opportunity pipeline of more than $800 million with dozens already in the design-in stage and some even transitioning to design win. Our sales team continues to partner closely with Arrow to execute on these opportunities, including the introduction of our 1,200-volt WolfPACK module portfolio. And we remain well positioned to continue to sell our superior solutions to customers across industrials and geographies through this partnership. At the end of March, we launched four new multi-stage, high-efficiency X-Band GaN on silicon carbide devices, which are used in a diverse array of applications, including marine, weather surveillance and unmanned aerial system radars. As we focus on executing across our business, we are pleased to see our strategy is further supported by developments in the broader market.
Operator: Thank you.  Our first question comes from Jed Dorsheimer with Canaccord Genuity. You may proceed with your question.
Jed Dorsheimer: Hi. Thanks for taking my question and congrats on the strong revenue this quarter. I guess, first question, Gregg, if we look at the comparison to a silicon IGBT, many, including in the industry, not just on the financial side, look at the cost disparity between silicon carbide versus IGBT. And yet, with Tesla, and I know you can't talk specifically on customers, but if you look at what Tesla has done from a systems perspective, it really kind of changed the game from seeing the net benefit of 6% to 7% from this component. So I'm just curious in your conversations, if you could provide some of the context of how the discussions have changed over the past year from sort of that procurement manager that's looking at hammering the price on one component versus maybe a C-level that's looking at the systems design architecture from what we've seen out of Tesla in the industry for BEVs. And then I have a follow-up.
Gregg Lowe: Thanks a lot Jed for the question, and what I would tell you is that the discussions two years ago were certainly very focused on the cost of a silicon carbide MOSFET versus a silicon MOSFET. That has completely transitioned, kind of as you indicated, to more at the system level. And I would say that carmakers and the Tier 1s across the board have recognized that at the system level the benefits of silicon carbide pay for themselves. Jed, just last month I spent about three weeks in Europe visiting with Tier 1s and OEMs. The first five days, by the way, were stuck in a hotel doing COVID sort of quarantining, but I visited with them after getting out of that. And the decisions that they're making are really pointing towards moving in a direction of silicon carbide. I had one OEM tell me that they're moving their entire platform there. I've had another Tier 1 mention to me that the OEMs are telling them to not even quote silicon anymore. Because they're convinced that across their platforms, high-end cars, entry cars, 800 volts, 400 volts, they want to go with silicon carbide, because of the cost savings they see at the systems level. You combine that with the tremendous amount of intensity that we’re driving the cost reductions on silicon carbide, it's a big win-win. So I would say, Jed that, your kind of thesis that you have I guess, I'm reading through the thesis in your question of our folks really looking at this more at the system-level is absolutely happening. And the thing that I would add Jed is that, it's permeated the organization. Maybe it started in the C-suite, but the rest of the organization is really starting to see it as well. There's a tremendous amount of value and a tremendous amount of savings that these car companies see at the system level for silicon carbide, and they're starting to design their cars from the grounds up with silicon carbide in mind.
Jed Dorsheimer: That's great. Just as my next question I guess, and thank you. I guess for Neill, one on the margin side. So if I look at the margin, I guess, my question is, are you adjusting or changing sort of that 50%? And if not, how should we think about -- and I know in the near term here you've got a bunch of different variables. But it might be helpful if you could sort of walk us through the cadence that we might be able to expect in terms of that margin ramp from the low 30s up to that 50%. What are the give and takes on the expectations there?
Neill Reynolds: Yeah. Thanks Jed. Yeah, I'll take that one. So, you see the margins now in Q3 kind of came in at the 35% zone or so. And it's a little bit lower than the guidance or maybe slightly below the midpoint of the guidance. And I guess you can call it more or less in line with what we expected. Let me just kind of break down a little bit what's going on here in the short-term. And then, I'll kind of bridge you back to kind of the long-term kind of margins. As you start to think through this, not just 4Q but the second half of the year, there's a couple of things. One is as you alluded to the margins are going to drop roughly 200 basis points at the midpoint going into next quarter. And that's really a function of a couple of things. One is there's some product mix. We talked about it, in the prepared remarks. The device businesses are seeing a lot of demand generation, a lot of growth right now. And they are based on a higher cost footprint down in Durham. So that higher cost is kind of causing some mix challenges. So those product lines are of lower profitability. So those kind of surge ahead, we see some margin degradation here in the short-term. You can call that about 150 basis points. The second piece of this is we're bringing capacity on to that footprint, as for the device businesses as we move forward. And as we bring that on, we're hiring people, we're training people, and there's just some lower productivity in the early stages of bringing on that capacity. So, as we start to get people on board, as we get that capacity corridor up and running and it gets to normalized levels in terms of velocity for the factory, I expect to see the margins pick up. And I think you'd start to see that pick back up maybe to the mid-30s as you get to the second half of the year. So, as capacity expands, we start to see some more device pick-up in the second half of the year, and I think you start to see that probably in the mid-30s, as you get the second half of the calendar year. And then, from there, that's really what you see in Durham. And I think the next thing to really look at is more of like, what's that structural change to kind of get to that mid-30s, out to that 50% target. And that's really all about Mohawk Valley. Getting to a cost footprint in a modern automated factory is going to have a dramatic impact on our costs. We talked about it a little bit earlier. We expect to start ramping that in the early part of calendar year 2022. And as more and more capacity starts coming out of Mohawk Valley, you start to see that structural change in our margins and our costs, so we'll start to march towards that 50%. And there's no change, we still see 50% of the goal and the target out in 2024. What I'd say also is that, in Mohawk Valley we are seeing some initial results. We've got a pilot lined up there. The initial results there are very good. And I think we continue to feel strong about where that footprint is landing and achieving that 50% gross margin go out in the 2024 time frame.
Operator: Thank you. Our next question comes from Craig Hettenbach with Morgan Stanley. You may proceed with your question.
Craig Hettenbach: Yes just following up on gross margin. With the RF side of things picking up I would think that helps a bit. Can you maybe just talk about that element of some of the mix on a near-term basis?
Neill Reynolds: It does help a little bit Craig. But I think if you look overall, you got to think about the device businesses going through pretty substantial factory transitions. If you recall we actually have two factories in Durham. There's a lot of movement between those factories. Recall our former LED factory is being outsourced and we're bringing up new products in that factory including some of our RF products. So as it's moving through those transitions there's still some productivity challenges as you start to bring up new capacity corridor. I'd say that would go for both power and RF. We're managing through that. I think over time you'll see better benefits as you alluded to. But I think in the shorter term you think of the device business being on more of a suboptimal footprint as they move forward.
Craig Hettenbach: Okay. And then just a follow-up for Gregg and maybe dovetailing off of some of the meetings that you've had recently. Can you maybe just touch on -- you have a number of interesting Tier 1 partnerships that you're driving to and you're also having these direct OEM engagements. And just how are you viewing the opportunity set through both of those channels in terms of growing the power device business?
Gregg Lowe: It's really interesting. The OEMs have a very, very strong amount of attention and interest in the supply chain for electric vehicles for a number of different reasons. One is that there's a tremendous amount of change, obviously, in the powertrain of the car. And they want to get their fingerprints on that because quite frankly, the engine, the internal combustion engine with the personality of the car. And the OEMs want to make sure that they put their “personality” into the electrified platform as well. So there's been a lot of attention there. And then the second thing is that's been amplified by all of what's going on in the silicon-based industry in the auto industry with all the supply shortages I'm sure you've read about, you've written about and so forth with. It seems like every car company has announced at some point that some vehicle manufacturing plant has been shut down. I will tell you I've been in the industry for over 30 years. And I can't recall a single time that anything I ever built shut down a plant, a car plant. So this is we're in unprecedented territory today. And so when I was meeting with those OEMs back in March, the discussion was all about the silicon carbide capability, the performance that we're seeing et cetera, but also a substantial amount of time on how we're doing with the Mohawk Valley, capacity ramp and is that capacity coming on per schedule. Because they wanted assurance that we were going to be there for them as we ramp up production for them. And, obviously, I gave an update on that. Things are going very well with Mohawk Valley. We are on schedule to be in production in early 2022. Neill alluded to the fact that we're seeing very promising results out of the pilot line. I would describe those results in terms of yield as on the very, very positive end of any expectation that we would expect out of those yields. They're very promising and that's looking really good. And that's yield on a percentage basis on a wafer that's going to output 70% more chips per wafer. So it really bodes well for us both from a capacity standpoint and then obviously a margin standpoint when you start yielding nicely higher than you do. And it's off of a 200-millimeter wafer it's really good news, so a lot of discussion about that. And then finally, the OEMs, the partnerships we have with the Tier 1s are very, very solid, had a lot of really good discussions while I was over there for those three weeks. And the OEMs are also very interested in what's called directed buy or direct engagement with them. They may not -- they might not actually build the inverters themselves, but they want to have sort of the decision for whose silicon carbide to put in there at their discretion. That's called kind of directed buy and we're seeing a significant increase in the interest from the OEMs to engage in that level.
Operator: Thank you. Your next question comes from Edward Snyder with Charter Equity. You may proceed with your question.
Jack Egan: Hi. This is Jack Egan on for Ed Snyder. Thanks for taking the question. I have one and a follow-up if that's okay. So the Chinese 5G build-out since 2019 has been primarily focused on deploying MIMO base stations. But towards the end of last year, it seem their plans changed a bit and now China is going to start deploying more macro 5G base stations which use fewer GaN power amplifiers just since there are fewer antennas. And so how would you expect a greater proportion of macro base stations might impact your GaN RF device business? I mean, I know you're ramping your GaN devices soon, but could the shift to macro base stations be a bit of a headwind to growth over the next year or so? And then I have a follow-up.
Gregg Lowe: Yes maybe I'll kick it off and Neill if you want to add any additional color. I guess what I would say whether it's massive MIMO, macro et cetera our engagement in the base station area in China is substantially limited. And that's primarily because we can't engage with the biggest player over there which is Huawei. And even other players over there have sort of a bias towards local efforts just simply because of its geopolitical situation. So our really activity is driven primarily outside of that. We do obviously have some amount of business in China, but I think it's mostly driven outside of that. We're actually seeing some pretty nice wins with customers outside of China. Neill, is there any additional color you want to put on that?
Neill Reynolds: Yes, I would say that if you go back in time and think about when we stopped shipping to Huawei, there was a lot of uncertainty out there kind of laid out our expectations for that business. And I think we sized it appropriately for what the opportunity was. I would say versus then, things have gotten incrementally better I would say outside of China and whether that be macro or massive MIMO. So better than we'd expected, I think in terms of what the opportunity is. And as Gregg said, we're seeing our fair share of wins in that area as well. But I think again better than expectations.
Jack Egan: Okay. Thanks for that. So for my follow-up, there have been supply shortages affecting the semiconductor space and other sectors pretty broadly since last year. I know this hasn't really had a direct impact on silicon carbides since the shortages are concentrated in other areas. But do you think some of your customers might be a bit hesitant to purchase devices right now just because they're having difficulty finding the other necessary components for their products? I know that can happen in normal supply environment as well, but I was just curious if it had become a bit more acute for you guys recently. Thanks.
Gregg Lowe: Jack, I don't see that. A lot of what we're doing right now is production ramps and prototype ramps and getting ready for a pretty big growth over the next couple of years. So, I think there's not a whole lot of that. I would say that the supply issues that you're talking about are primarily focused around silicon-based chips for production vehicles today. And most of our activity is in preproduction vehicles and device -- cars that are going into production in 2022, 2023, 2024, 2025, et cetera. So, there is not a direct impact there. What I would tell you though is the attention, the car manufacturers and the tier 1s have to our supply chain is very, very high and very, very acute. And so, we announced in May of 2019 that we were going to substantially increase our capacity by building new materials factories and expanding our material factories and building a new wafer fab. We didn't anticipate in May of 2019 that, we'd be in the situation -- that the carmakers would be in the situation that they're in today, where they just can't get products with car lines going down, it seems like every week. What I would tell you is, when I visited with those customers for those three weeks in Germany, and I showed them a picture of a factory that a year ago was basically mud and earth, and today is a building and that we're going to be going into production in really about eight months from now nine months from now something like that. They're really enthusiastic about that. Quite frankly, we look really smart, because we're going into production with the world's largest silicon carbide fab right in the middle of all this supply issue. Quite frankly, it just happened to be luck I think, because we made this decision in May of 2019. We weren't predicting this. But the capacity coming online and in a relatively short period is certainly a very nice light at the end of the tunnel for some of these guys as they start placing bets on silicon carbide.
Operator: Thank you. Our next question comes from Craig Irwin with ROTH Capital Partners. You may proceed with your question.
Craig Irwin: Good evening. And thanks for taking my questions. Gregg, I'm really interested to hear a little bit more detail about the four new GaN on silicon carbide products you just recently released. Have you sampled these already to key customers? Are they maybe in sampling now or low rate production? What's the timing on full rate commercial production? And would you expect them to be margin accretive before the end of the year?
Gregg Lowe: Craig, I believe we are sampling those products. When we announce new products, we typically have done qualification and so forth. So I believe, we are sampling those to customers. I won't talk specifically about those particular devices. But I would tell you just in general as we announce new products. They tend to be margin accretive, just simply, because they're the more newer products that we have. I can't specifically -- I don't want to specifically talk about those, but the -- what I would tell you is that, we're seeing a lot of interest in our RF products across a number of different areas. And the team is I think doing a pretty good job of bringing new products to bear in the market. The same is happening and by the way Craig in our power business. I don't remember the exact number. You might have that Tyler. But the number of new products, we're introducing this year in our power business is certainly an all-time high, since I've been here. And it seems like every year, we're doubling the number of new products that we're introducing.
Craig Irwin: Thank you. As my follow-up question, I wanted to ask a little bit about the device pipeline your $10 billion device pipeline you mentioned in the prepared remarks. Of the portion that is automotive or transportation related, can you maybe characterize for us approximately what the share is that's coming from emerging EV producers? And maybe we could lump Tesla in that group. I guess they're not emerging. They're wildly successful right versus conventional legacy combustions in the automotive OEMs that are now spending money and ramping. I mean, how does the mix work sort of legacy versus new economy players here?
Gregg Lowe: Craig, I don't have the specific data in front of me, but I can tell you kind of just thinking through, we review the list of big opportunities and so forth. And I would say, a substantial portion of that are car manufacturers that you would know the name of, and they historically have been internal combustion engine manufacturers. I can't give you the exact numbers, because I don't have them. But it's a pretty nice portion is internal combustion engine companies that are shifting to electric vehicles, and investing substantial amounts in electric vehicles, or have made declarations that they're going to be all-electric by 2035 and so forth. So it's a lot a big portion of that, Craig. And again I apologize, I just don't have the number in front of me. But I think a big portion of that is going to be from existing car companies that are transitioning from the internal combustion engine to electric vehicles.
Operator: Thank you. Our next question comes from Vivek Arya with Bank of America. You may proceed with your question.
Vivek Arya: Thanks for taking my question. I had actually one for Neill and one for Gregg, please. One more on gross margins, what will need to happen in the second half for you to get back to trend line on the gross margin side? Do you already have those plans in place? Is it a mix issue? What changes in the second half of this calendar year to bring gross margins back on track?
Neill Reynolds: Yes, I don't think it's something, there is always a mix as you look quarter-to-quarter, as you look out to the back half of the year. I think this is really about bringing on new capacity and getting productivity off the new line. So as we bring on new capacity corridors in Durham and we've talked about it many times, the Durham footprint can be challenging to work with. But it's an interim step between getting from where we are today in the second half of this year and into Mohawk Valley next year.  So I think it's really just about driving the productivity on the new capacity corridors, which is a function of a lot of things. There's getting people online, bringing in resources and getting them trained up and getting a better velocity through the factory. So I don't think it's so much mix. It's hard to call sometimes. We'll see how things play out. But I think it's really just about that. And yes, we have plans in place. We've been seeing improved yields. We saw them last quarter. So the underlying elements I think are in place.  And like I said I think we'll kind of get back to that kind of mid-30s. We could be a little bit more or less depending on what happens. But we're not that far away from transitioning to Mohawk Valley.  So I think that's a reasonable level to kind of target here during the second half until we start really focusing our efforts on bringing up Mohawk Valley where as we've said, we'll see a lot more structural change in the cost footprint and that should flow through the margins over time.
Vivek Arya: I see. And Gregg what's your sense of the competitive landscape that is developing right? Obviously, EV is a very, very large market opportunity. How do you view GaN as a competing material to silicon carbide? And separately are you seeing any new competition from other materials or device companies that might be looking to build their own silicon carbide capability? I mean, how many competitors can this market really support given the heavy CapEx investment and IP that is required to be successful?
Gregg Lowe: Well, first off it's a huge growth market. So as a substantial growth opportunity and even if you just kind of pin it down to electric vehicles, you're talking about a very, very substantial growth opportunity that probably by all accounts is going to last at least a decade. So any time you see a growth like that, it's going to attract attention and investment and new competitors and so forth. So we fully anticipate that and expect that.  From a GaN perspective, I think what we're seeing with GaN is there's -- it seems to be playing more in the space of onboard charging and substantially less in the space of inverters. In fact several of the customers that I've met with have actually discontinued any evaluation of GaN for the inverter itself. They are looking at GaN for onboard charging. So, we're seeing GaN mostly in that area. And really the battle on the inverter is really whose silicon carbide they're going to go with. And in that respect, it's really the main players that you've seen in silicon carbide before. We don't see substantially new players coming in at the device level.  From a materials perspective, we see obviously there is a number of different companies that are out there doing materials and we fully expect them to try to work real hard to get a footing here. And our job as the leader is to really continue driving that business and to not be satisfied with where we're at. And so we continue driving cost efficiency. Obviously, the transition to 200-millimeter is a big deal for us. So we are not blind to the fact that there's going to be other folks coming into this market and we are just intensively driving our business to make it harder. And that's going to make it easier for customers to choose to go with us.  And then the final thing that I would say is any time a car manufacturer makes a decision on who to go with they look at a myriad of different things. They look at the device performance. And we always come out kind of in the top category there sometimes tied with somebody, sometimes by ourselves. But we always come out very good from a device performance perspective. They look at the knowledge and the capability you have in silicon carbide. And there at the device level we really standalone. We have substantially more knowledge of silicon carbide than anybody else. And so we always end up the top player there. They look at knowledge and capability in the auto industry. And here we don't fare so well. We have other competitors at the device level that have been in the auto industry for 34 years and have more knowledge of the auto industry. And so that's an area that we need to beef up. And we do that by hiring folks from the industry and joining us and we've got dozens and dozens of people that we brought in with that background. And that gives our customers a great deal of satisfaction seeing that we're able to attract folks. And then the final thing they look at is from a supply -- obviously they look at competitiveness too from a cost perspective. But the other thing they look at is supply continuity and supply assurance and what are you doing from an investment perspective to ensure that you're able to support them as their production ramps. And boy I'll tell you they looked at the world's largest silicon carbide fab going into production in eight months or nine months and we get a big check the box on that one as well.
Operator: Thank you. Our next question comes from Pierre Ferragu with New Street Research. You may proceed with your question.
Pierre Ferragu: Hi. Thanks for taking my question. Gregg, I would have like a follow-up question on the evolution of your competitive landscape on a more specific topic in your substrate position. So you know there are like a couple of companies in Europe who are working on innovative ways to split wafers, to split builds . And there is of course some way to go before we see any of that becoming something tangible and industrial. But my question really is if one of these technologies becomes like mainstream and easy to ramp from an industrial standpoint, I'm kind of wondering if it's a positive or a negative for you guys. Because on one hand, of course, it's going to compete with your sowing business. But on the other hand, it would accelerate the market like brings more supply of wafers. It will increase the value per build . It would drive growth in the device business. So I was wondering if you ever thought about it and if you have a sense whether on a net basis it will be a positive or a negative?
Gregg Lowe: I think it's a great question, Pierre. And I think your view I'm kind of extrapolating your viewpoint on it is probably pretty good. The more interest there is in the market, the more excitement investment there is in the market the more it's going to drive the market adoption and growth and so forth. And that is a typical reaction to a market with more investment coming in. And then conversely it's a typical reaction to the investment with the market growing the way it is. So they're kind of mutually -- they mutually kind of build on themselves. I will tell you that we obviously keep up with all of these various different developments. And I think you used the word easy or straightforward or something in there. And there's not a whole lot of about silicon carbide that's either easy or straightforward. So there's a lot of hard work to -- that goes into some of this kind of stuff. But we are not blind to any of it and we keep an eye on all of it. And again as a leader in the industry driving scale and driving costs down is something we're continuing to do. So any of these new entrants coming into the market are chasing 30 years of experience and they're chasing a cost curve that's moving pretty quickly. So, I think your thesis is actually very solid though. I think that the more investment, the more interest, the more excitement there is about silicon carbide. Yes, it does create the potential for more competition for us, but it also drives more adoption of the industry. So I think that's actually a pretty good thesis.
Pierre Ferragu: Thanks, Gregg.
Operator: Thank you. Our next question comes from Colin Rusch with Oppenheimer. You may proceed with your question.
Colin Rusch: Thanks so much. Guys as you're talking to customers, what can you say about system design trends in the mix of 400-volt, 600-volt or 800-volt architectures? And how is that impacting customer comfort with the move to 200 millimeters where we understand as you've got higher voltages it's a little bit harder to get the thickness on some of the deposition?
Gregg Lowe: We don't anticipate any problems at all at 200 volts on -- excuse me, on 200-millimeter with higher voltage. So we're feeling pretty good about that and don't anticipate any problems at all in that regard. I think we've got things pretty well understood, so I feel very, very good about that. I think the most important trend at least that I see in the industry is the realization from the car manufacturers and the Tier 1s that there is a substantial advantage with silicon carbide. And they obtain that substantial advantage by designing the inverter from the start as a silicon carbide-based inverter. A year ago, two years ago, we talked to customers and there was a little bit of a, well, I'll design the inverter and then decide later whether I'm going to put silicon carbide in or silicon. And you only get, I mean, you definitely get an advantage, but it's only so much. When they start with an attitude of this is going to be a silicon carbide-based inverter platform, there are so many other things that they can do that get substantial cost improvements, weight improvement, size, et cetera. And I think that's a trend that I've definitely seen transition over the last couple of years. So, I'd say that's probably the most substantial trend.
Colin Rusch: Okay. Great. And then just a more practical one around the Mohawk Valley and some material costs. Obviously, inflation is impacting a lot of basic materials, and we're also seeing a fair amount of labor tightness around the construction space. What can you say or what sort of impacts are you seeing so far in terms of your expectations around CapEx on the facility and how that may flow through some of your cash flow?
Gregg Lowe: Yes. Maybe Neill if you want to cover the CapEx that would be great.
Neill Reynolds: Yes. On the CapEx front, we really haven't seen any change. So we talked about the $550 million for this year. I think everything that we have seen to-date is in line with that and really haven't seen any issues on that front. Next year it will come down a bit. Still higher than what we had projected previously just, because we're going to be doing 200-millimeter. There's also some timing on the fab and construction. But I would say from a CapEx standpoint, we're in good shape in terms of the plans that we've previously talked about.
Operator: Thank you. And our next question comes from Gary Mobley with Wells Fargo. You may proceed with your question.
Gary Mobley: Hey, guys. Thanks for taking my question. I want to ask about your silicon carbide materials business. It sounds like it's showing very modest sequential gains. And maybe I'm reading into this wrong, but perhaps not living up to expectations in terms of growth. But I'm wondering if you can give us some clarity on maybe what some of the impediments are to growth whether it be competition capacity constraints general demand pricing or whether or not it's a conscious decision to sort of pare back in the materials market.
Gregg Lowe: Yes, maybe I'll kick it off and see if Neill can -- want to add any additional color to it. So, thanks for the question, Gary. And just recall, most of our materials business is really done through long-term agreements. I think it's somewhere north of 70%, around 75% of the materials business with long-term agreements. And they're basically behaving as we expected. And so -- and quite frankly, we prefer to have long-term agreements. We're not really into the spot market kind of thing so much. And so, the pricing and the capacity and the demand and so forth, is all kind of laid out with these long-term agreement customers. We try to treat them very well. I think if you talk to any of our long-term agreement partners, they'd probably substantiate that as well. And they're basically working as they go. We're not really big into the spot market. So, we don't play the -- what's happening today with the cost of silicon carbide per wafer and what could we get tomorrow on the open market. We're much -- we'd much rather have long-term agreements and have a good understanding of what our capacity needs to be to supply those guys out in time. We do about 60 -- we're about 60% market share in materials right now in the merchant market. And through our time frame, through our LRP time frame, our anticipation is that we hold that market share. So, I don't know Neill, if you want to add any additional color to that or not.
Neill Reynolds: Yes, I think when you think about the materials business, it's still early days in terms of silicon carbide. We originally signed up a lot of the LTAs, a couple of years ago. Different customers are going to have different inventory positions in terms of ordering. But if you look at silicon carbide over the long-term adoption of electric vehicles, I anticipate that will pick up at some point as well. They just ebb and flow in between these different periods. So I think as adoption rates pick up for silicon carbide, you expect the materials business to grow. And, I think right now in line with the expectations that we've had both short-term and I don't think our long-term plan has changed at all.
Gary Mobley: Appreciate that color. As my follow-up, I just had a housekeeping question Neill, with the recent equity offering. Can you confirm that shares will go up to what roughly slightly more than 115 million?
Neill Reynolds: That's correct, right around 116, yes.
Gary Mobley: Got you. Thanks, guys.
Operator: Thank you. Our next question comes from Karl Ackerman with Cowen. You may proceed with your question.
Karl Ackerman: Hi. Good afternoon, gentlemen. Two questions from myself. Neill, the first one for you. I was hoping you could walk through what sort of milestones your team has in front of you until Mohawk begins to manufacturer wafers. I asked, because lead times on most semi cap equipment, appears to have extended to nine months or more. So I'm curious, if that has been a challenge for you as you seek to ramp Mohawk nine to 12 months from today. And I have a follow-up.
Neill Reynolds: Yes. Thanks, Karl. I don't think we're seeing a big impact there. We've had these plans in place for quite a while now in terms of building the factory. Obviously, we're watching the cap equipment space closely. And we placed lead time orders I think, appropriately given the time frame. We knew we were going to be needing the equipment. And so, right now so far so good. So, as you think about milestones, as Gregg talked about earlier, we're seeing some positive signs on the yields off our pilot line. And then, as you get out into next year, we'll be able to kind of ramp in our qualifying parts. So, I think right now everything is kind of working the plan, and don't see any of those types of issues at this point.
Karl Ackerman: Got it. Thank you for that. And then Gregg, during your prepared remarks, you did indicate, I think $580 million of incremental design-ins. It sounded like a large amount of them are now coming from non-EV and non-5G applications. I was hoping you could discuss I guess why you're seeing this broadening of use cases. And are these new designs entirely on 200-millimeter? And then perhaps, if I could maybe the timing of when these go into production. I ask because as some investors I think have argued silicon carbide will remain a niche application and that it won't scale perhaps outside of automotive or high-power industrial markets. But it sounds to be perhaps not the case with your recent design-ins. Thanks.
Gregg Lowe: Yes. So -- thank you. And if you take a look at our total opportunity pipeline about half of its automotive. And then a pretty substantial portion of the rest of it is the broader industrial aerospace and defense kind of business. The $580 million worth of design-in is part of the $2.5 billion of design-ins that we've had in the last five quarters. Obviously automotive is a big portion of that but we're seeing a lot of adoption across a number of different end equipments. I mentioned an air conditioning system that we were designed into. We got designed into a forklift, a 3D laser printer a wind tunnel application. And then probably my two favorite are we're now in a beer truck and a flying vehicle. So it's -- if you look at the -- just the applications and the opportunities that we got with Arrow it's across wide variety of different applications as well. So I guess what it's coming down to is, we're starting to see a very nice adoption of silicon carbide obviously in the auto industry but outside auto as well. And the beauty there is that, this is a market that we normally wouldn't be able to go after. But because of our partnership with Arrow they have -- we have a very small sales force. They have a very substantial sales force. And their footprint out in the field and their enthusiasm for going after this market is very, very solid. It's a fantastic partnership and it's driving the adoption into all these different kinds of end equipment. So quite frankly we just wouldn't have the bandwidth to go cover. So great opportunity inside of automotive and a very nicely growing opportunity outside of automotive in this broader industrial base. And I'll tell you growing that broader industrial base is a key priority for me. I obviously visit with a lot of the automotive customers directly, but I'm on a very frequent call with the Arrow team talking about that broader base as well and very happy with the results there.
Operator: Thank you. That concludes our Q&A session. I would now like to turn the call back over to Gregg Lowe for any closing remarks.
Gregg Lowe: Well thanks a lot everybody for your participation and interest in Cree. We've got a lot of exciting stuff going on here. And we look forward to chatting with you next quarter. Thank you.
Operator: Thank you. Ladies and gentlemen this concludes today's conference call. Thank you for participating. You may now disconnect.